Operator: Welcome to the AIR Communities Fourth Quarter 2020 Earnings Conference Call.  Please note, today's event is being recorded. I would now like to turn the conference over to Lisa Cohn. Please go ahead, ma'am.
Lisa Cohn: Thank you and good day. During this conference call, the forward-looking statements we make are based on management’s judgment, including projections related to 2021 expectations. These statements are subject to certain risks and uncertainties, a description of which can be found in our SEC filings. Actual results may differ materially from what may be discussed today. We'll also discuss certain non-GAAP financial measures, such as funds from operations. These are defined and are reconcile to the most comparable GAAP measures in the supplemental information that as part of the full earnings release published on AIR’s website, air communities.com. Prepared remarks today come from Terry Considine, Our CEO; Keith Kimmel, our President in-charge of Property Operations; Paul Beldin, our Chief Financial Officer. Other members of management are present and will be available during our question-and-answer session, which will follow our prepared remarks.
Terry Considine: Thank you, Lisa and good morning to all of you in this call. Thank you for your interest in AIR. 2020 was a transformative year with the separation of AIR from Aimco. During the separation we were able to unlock $1 billion of shareholder value. The total return of the combined companies outperformed the six large apartment REITs by more than 1900 basis points from our announcement in September through the end of the year. On the same combined basis, shareholder returns were the best of the coastal apartment REITs for the past one, two, three and five years. In years four and 10, we play second. In our board net process my super fellow directors, Bob Miller, Tom Keltner, you Devin Murphy, Kathleen Nelson, John Rayis, Ann Sperling, Mike Stein and Nina Tran worked hard and well to make the right decisions with two dozen meetings over six month period, as well as numerous smaller meetings plus calls with individual shareholders and proxy advisors and so on. At a time when many boards were hunkering down and grateful for their self-confidence, their commitment to shareholder value creation, their sound advice and thoughtful decisions. The separation also required long hours of work for a great many of my teammates led by Lisa Cohn and Paul Beldin, who joined me on this call and also by Lynn Stanfield and Jennifer Johnson who remain with Aimco. Most of all, I thank our shareholders for their recommendations, engagement and encouragement as we made important changes at a difficult time in the economy. We listen carefully to each of you and search for the right balanced response. I'm delighted that the share price has been rewarding and I look forward to further gains in the future. And of course, the separation was about the future. We believe AIR is the simplest most efficient way to invest in apartments and will attract traditional REIT investors and also yield investors generally, will prefer AIR to other investment vehicles designed to provide current income with predictable growth. New AIR investors own a share of a simple transparent business with best-in-class property management, the safety of a diversified portfolio and a strong balance sheet and low overhead costs that together provide a high current return. We believe that recovery from COVID related stresses is well underway and we expect further gains this year, as Keith will discuss in greater detail. Over the longer term, we're bullish on our strategy, our markets and our team. We believe our markets will perform better than the United States as a whole. And we're confident that our team will outperform in those markets. We have a solid path for growth based on best-in-class operations, regular property upgrades, what we expect will become a more favorable cost of capital. As I close, I again, offer my AIR teammates many and sincere thanks for what they accomplished last year and for the opportunities they've created for this year and beyond.
Keith Kimmel: Thanks, Terry. Today I'll look back at our results for the full year 2020 and also for the fourth quarter. Then I will discuss our January results and what leading indicators tell us about the new AIR. And finally, I will discuss our outlook for 2021. Before doing so, I want to take a moment and look at the big picture. Our 10 year revenue CAGR is 3.4%, as you'd expect there's always the short term variation around the long-term trend. In 2020, it was negative. It was a tumultuous year and yet revenue was down only 2.4% and net rental income was down only 4%. We expect revenue growth to resume later this year and referred to our long-term growth rate in 2022. Now turning to our full year results. Revenue was down 2.4%. Residential net rental income, which we define as residential occupancy times average rate, and is the most straightforward measure of the health of our core business was down only 10 basis points. Controllable operating expenses were down 1.1% and total expenses were up 1.6%. This extended our decade of expense leadership with a 10 year CAGR for controllable operating expenses of negative 10 basis points. Finally, net operating income was down 4%. Operationally turnover in 2020 was 42.1%, 80 basis points better than 2019. And customer satisfaction was over 4.3 as measured by 57,000 resident surveys demonstrating the consistency of our team even during unsettled times. In the fourth quarter, the financial results were negative. The lagged echo’s of three events earlier in the year, the virus and lockdowns in the second quarter increased lease terminations due to economic stress and onerous regulations put in place by the city of Los Angeles. Fourth quarter residential net rental income was down 4.3%. During the quarter blended lease rates were down 8.5% with renewals up 1.4%. In new leases, which made up the lion's share of transactions were down 10.9%. Revenue was down 7.4% after the impact of a $1 million reduction in commercial income and a $4 million year-over-year increase in bad debt was over half coming from Los Angeles. Expenses were up 7.6% as compared to the 1.6% growth for the full year. But the increase in the fourth quarter was strictly a matter of timing. As a result, fourth quarter net operating income was down 12.5%. On last quarter's call, I pointed to leading indicators, including an acceleration of leasing pace and a strengthening of our lease percentage as predictive of stabilizing or recovering occupancy. As predicted, average daily occupancy improved from a trough of 93.3% in August to 95.4% in January and further to 95.6% today, as we speak. Residential net rental income has increased sequentially for five consecutive months. These leading indicators continue to show that more occupancy growth is on its way. Our lease position continues to strengthen relative to last. And leasing pace is accelerating with prospects, leasing tours and net leasing all up in January from the fourth quarter. In short, demand is good. And I'm optimistic that occupancy will return to pre-COVID levels by the end of this year.
Paul Beldin: Thank you, Keith. Today, I will discuss 2021 guidance, leverage and conclude by discussing AIR's dividends. Starting with 2021 guidance, our narrow focus together with high quality cash earnings allows for easy financial analysis and modeling. In fact, approximately 98% of 2021 FFO is derived from only three sources. First property related income, including in 2021 income for redevelopment and development communities leased to Aimco, second, the cost of our leverage and third, offsite costs. In 2021, we forecast FFO to be between $1.91 and $2.05 per share representing growth between 10% and 18% from 2020s pro forma $1.73 per share. We expect incremental growth of two  $0.15 from property-related income, approximately $0.09 from lower leverage costs and approximately $0.06 from a lower offsite costs. Next I'd like to spend a moment discussing leverage. At December 31, AIR’s pro forma leverage to EBITDA was 7.5 times, 1.6 times higher than our expectation, when we announced AIR separation for Aimco. 6-10s of return increased as a result of lower NOI for property operations and one turn is attributable to $440 million of debt incurred subsequent to our September announcement. Of the $440 million, $240 million was used to increase Aimco’s capitalization and then $35 million was invested in upgrades to AIR’s Communities, and $65 million was used to pay a larger cash dividend in the fourth quarter. We expect to repay the incremental borrowings with proceeds from the sale of a whole or partial interests and low cap rate properties. Our guidance does not explicitly contemplate property sales, but we believe that sales of low cap rate properties will result in minimal FFO dilution. Finally, on January 25, the AIR Board of Directors declared a quarterly cash dividend of $0.43 per share, a 5% increase over the regular quarterly dividends paid by the combined companies. The increased dividend reflects AIR's high quality of earnings, lower leverage, and greater predictability of cash flows. With that, we will now open up the call for questions.  Rocco, I'll turn over to you for the first question.
Operator: Thank you.  Today's first question comes from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good afternoon, guys. What is the $45 million to $55 million of capital enhancements? Is that all just to get your bad programs? Does that include your technology upgrades? What is included in that? And then what else are you spending the free cash flow on, if you don't make any acquisitions this year?
Paul Beldin: Rob, this is Paul. Thank you for the question. In our guidance, you're right to point out that we are guiding to $45 million to $55 million of capital enhancement spending. As you know, those are projects that we expect will either increase our revenue growth going forward or reduce costs. In 2021, our plans are heavily weighted towards the continuation of our K&B programs that we put on pause during the 2020. And those will get reaccelerated in 2021.
Rob Stevenson: And from a capital standpoint, if you don't make any acquisitions, I mean, where else is the capital going? Is it just repaying debt, lowering those leverage levels that you were talking about?
Terry Considine: Rob, this is Terry. If we don't otherwise address leverage, we can use it to reduce leverage. Once we're at our leverage targets, additional cash will go to increase the dividend.
Rob Stevenson: Okay. And then Keith, you were talking about positive lease rates by sort of middle of the year in your sort of commentary. I mean, when you get there – I mean, are you expecting that to be on a blended basis? Is that new lease rates, help us understand sort of the cadence that in your guidance estimates that's implied by the $1.91 to $2.05. Is that a blended number; is that just the new lease rate, et cetera?
Keith Kimmel: Rob, it will be on a blended basis is how we're thinking about that. So what we know is that in all of 2020, our renewal rates were positive the entire year, even despite the challenges that the pandemic and the disruption to the economy occurred in. So we think that that will build upon as we get into 2021. And we're seeing the bottom of new lease rate pricing that has started to pick back up. And so we think as we get to the middle of the year that potential exists once we get there.
Rob Stevenson: And where concessions today for you guys across the portfolio?
Keith Kimmel: So we don't think about concessions maybe as others might traditionally talk about it. So we just think about net effective rents. And so whether that's really driven market-by-market, you think about some markets, the Bay Area is an example where there's a lot of competitors who will use a month free. We think of it at the end of the day is, is it a combination of what the occupancy is? Is it a lower rate? And so as we look through it, we can see that the most of that pressure will come in the first quarter and the second quarter, and then we get stronger as the balance of the year goes on.
Rob Stevenson: Okay. Thanks guys.
Operator: And our next question today comes from John Kim of BMO Capital Markets. Please go ahead.
John Kim: Thank you. Just to follow-up on that. So the blended lease growth rate that you had at negative 8.5 in the fourth quarter, how does that compare to the third quarter? I know Aimco had minus 3%, but it's not quite apple-to-apple. And then that minus 8.5%, how much of that is concession versus reducing the face rents?
Keith Kimmel: So John, I'll have to see if I have the exact third quarter comparable going back to Aimco. But when we look at the combination there that it's mainly driven in the fourth quarter by new lease rates, because what we were doing is we were building the occupancy in places like the Bay Area in Los Angeles, where there was a greater gain to lease. And so those rates really were the ones that were more impactful. But we continue to have positive blended rates in the fourth quarter, or excuse me, positive renewal rates, which is really the offset.
John Kim: Do you find it harder to increase face rents rather than decrease concessions when the pricing environment improves or basically no difference?
Keith Kimmel: No. At the end of the day, we think it's the same as – when we think about the net effect of rent, that it basically isn't any different. There's certainly maybe some markets that will have a very particular unit type or something like that, where someone will be concessing something that you have to deal with on a one-off basis. But we don't price as a blanket way across the country, we price every single property individually, but even more particularly, we price by unit type. And so we could have a one bedroom unit that is in limited supply, that we are actually raising rates. And at the same time, you have a two bedroom that is a – in a different condition in which it could be something that is being more lowered on a net effective basis.
John Kim: Okay. And then you mentioned as one of your objectives reducing your cost of leverage. Some of your peers now have unsecured bonds trading sub 2%. Can you just remind us how attractive that market is for you and potential timing of going that route?
Paul Beldin: You bet, John. Thank you for the question. This is Paul. When we announced the separation of AIR for Aimco, one-item we commented on was about diversifying our sources of debt capital and unsecured bonds are certainly an option. So it's better to have more options than less. And the executions that I have seen, some of our peers achieve over the past recent months only increase that attractiveness. And you'll note that as part of the separation, we did receive a BBB flat rating from S&P. And so to the extent that pricing is attractive, that's an option we'll explore, but I'll also call out that property debt also continues to price quite attractively in today's market as well. So it's always good to have choices.
John Kim: And what about timing?
Paul Beldin: If we have something to announce, John, you'll be one of the first to know.
John Kim: Okay. Thank you.
Operator: And our next question today comes from Zachary Silverberg with Mizuho. Please go ahead.
Zachary Silverberg: Good afternoon, guys. Can you talk about Philadelphia bid? You sort of mentioned the same vein as San Francisco. Can you provide any more color on the sub-market there? And maybe quantify some of the prepared remarks about the university students returning to help the city in 2021?
Terry Considine: Sure, Zach. So in Philadelphia really Center City and University City are the two places that we really have more business. I'll start with what we're seeing in the universities between Drexel and Penn. Now of course, it's early, but we've seen, Drexel brought their freshmen and seniors back to class for the spring. And we also saw that Penn had 3,000 students coming back. And so what we have is, is we have relationships with many of the folks that work in those schools, and while there hasn't been public announcements, what we're hearing from all of those folks is, is that they are working hard and diligently to get their schools back reopened. And so we're expecting that in the second half as we get into 2021 and but of course, that's yet to be seen in. And when we get into the Center City where we really see there is the Comcast impact of the towers. And so Comcast as really they've indicated that the middle of the year is what their expectations are. And so we talked to their local administrators and folks that work inside those buildings who have told us that they are driving to get their employees back in those offices by the middle of the year. Those are areas that are still open items obviously, and they'll have to deliver on them. And we all know there's lots of uncertainties, but we're encouraged to see that those are folks that are really pushing to get the schools reopened and get people back into the offices. So that's really the backdrop to our Phil portfolio.
Zachary Silverberg: Okay. Got you. And I guess just sort of a follow-up, I guess there's some of the other more urban or denser locations. You talk about migration trends a bit, are you still in touch with people have sort of moved out of the city? Are you seeing these people trickle back into your apartment buildings that have just any color there would be great?
Terry Considine: Sure, Zach. On the migration, we're not seeing a lot of variability there. We have two places I would point out that maybe that would be a little bit different and that is first the Bay Area and second Miami. So in the Bay Area, we've seen a little bit slower new jobs coming in from outside of the States and traditionally, the tech companies hire a lot of folks that come in. We think it's just a pause that we're seeing as the tech company has been working from home. And the hiring has been a little bit slower, but we believe it'll return. And then on the flip side of that, in Miami, we've seen a significant uptake of folks that have been moving there. And so when we go through our applications and people that have moved in there's been some migration from the Northeast and other places in which obviously a lot of positive things going on in South Florida.
Zachary Silverberg: Thank you.
Operator: And our next question today comes from Sumit Sharma with Scotiabank. Please go ahead.
Sumit Sharma: Good morning, congratulations on the first quarter as a new REIT. I'm sure there's a lot of work that goes into this. So I guess what I really wanted to understand focusing on a couple of expense items. On the expense, we wrote the – I saw LA was probably the highest across your portfolio is about 8% sequential increase versus a 1% sequential decline. Sorry – versus 1% across the portfolio? So was this special? Was there something special about LA? I mean, could this be because you're not getting utility reimbursement there? And so besides the bad debt that you took or people who did not pay since June, there are people who are paying partial that is rent, but not utilities. Any color you could provide on that 8% spike would be great.
Paul Beldin: Sumit, this is Paul. I’ll start and Keith, if you have anything to add, please jump in. But what I would say is that the driving factors in LA, if you look at it quarter-over-quarter, one is increase in bad debt as you called out. And the second factor is on the expense side of around property taxes, where we've had a long standing appeal that has been in place, and one of our properties there, and we've had some costs associated with that appeal that are in our fourth quarter numbers.
Sumit Sharma: Understood. Thank you for that. I was thinking there was something one-time or controllable. So you address that. Now in terms of the Bay Area in California in general, this is kind of fun. I think you mentioned that at one point – I actually, it even shows up in this quarter's release, you guys have the highest average rental rate per unit than any other Bay Area REIT, right? Essex, EQR, AvalonBay. So at the same point in time, you also have the lowest average rental rate decline. You guys are down 2% versus an average of 7% for the peers and in rates revenue decline of 8% versus 11% for peers. So the only difference here is that you guys are 90% occupied while your competition, peers, whatever you call. Generally, around 94% to 97%. So a there's a hypothesis that you're not dropping as price as much as peers what's driving that strategy. And is case that you’re larger than usual rental rate is that a function of unit mix by any chance?
Keith Kimmel: This is Keith, I'll take it and walk you through some ideas on it. And then if you need further clarification, we can go there. What I would say about the Bay Area is that a couple of things. One, I want to think about it in two different portfolios. The first is, our San Jose in our Marine County portfolio that has been very stable and highly occupied, running it 97% or better occupied essentially through this period of time. So there's been a real stability that has come with that portion of our portfolio. When you go to the second half of it, which is really in the Peninsula in San Mateo County, that's the one that has had the greater stresses on it. And so think Redwood City and think San Bruno, that particular area. And so really those are the ones that have had more stresses. Those are the properties that actually have the higher price points. So our brand new buildings that are out there at Indigo and Pacific Bay Vistas and others have had high price points, and we've been – had a steady hand on those. We know that there's been a lot of pressure around rates and lots of folks have taken an aggressive approach. What we have focused on is retaining our current customers. And so having folks stay with us longer paying higher rates, we believe ultimately those renewals traded about a 25% premium when they stay with us versus having them go out. So we've really been focused on how do we retain our residents, keep the rents, and then also have a steady hand on those folks that are coming in. With that all being said, there was a lot of rate pressure in the Peninsula. And it still exists. And while we've seen a stabilization of occupancy there the rates continue to have pressure.
Sumit Sharma: Got it. So let me just ask a really quick one and then I'll sort of thank you everybody for indulging me. As you're 90% occupied, is that a level that at this stage in the cycle you are comfortable with when market is around 94%, peers are somewhere around there too. So is that a conscious decision and one that signifies to you that you will face less concession pressure?
Keith Kimmel: So Sumit we don't solve the occupancy. We solve the total revenue. So many times what will happen is, there's this belief that if you just get to a certain occupancy that somehow or another that's going to change things. What we really focus on is the combination of occupancy, also rental rates, but mostly how do we retain current residents even longer. And so, listen, certainly we would like to be better than 90% occupied without a doubt. But we also, aren't going to sacrifice that somehow or another, we're going to move rents just so that we can get full the kit, somehow or another get the wrong customer in the community, or also be more deteriorating against our current in place rent. So it's a delicate balance, and it's something that we work on every single day.
Sumit Sharma: Thank you very much. I appreciate it. And thank you for indulging me.
Operator: And the next question comes from Rich Anderson with SMBC. Please go ahead.
Rich Anderson: Hey, thanks. Good morning out there. So, you have this new company, keep it simple, stupid sort of thing. And that's great and it's great for risk off environment as well. But what happens when we moved to risk on and your peers are doing more value-add type of acquisitions and things that that could use growth a little bit more. Well, you have a hesitancy to go after stuff like that now, because you've created this new kind of low risk platform.
Terry Considine: Richard, this is – first of all, it's always good to hear your voice. I hope you're well. It’s Terry. Secondly, I would say that we're not likely to be hesitant, that doesn't describe us. And when we see opportunity for value-add acquisitions we will tackle them with enthusiasm.
Rich Anderson: Okay. And then Paul, you said, no dispositions explicitly in guidance. But obviously this – again, this company has been created in part to make dispositions and easier undertaking. When you look at what's potentially available for sale, do you kind of go with this 10% of the portfolio type of concept? Or do you have assets that are obvious for sale candidates that didn't get left in Aimco that you still own that are kind of a source for capital that you're perhaps just not identifying explicitly right now?
Terry Considine: Richard, if you might – I'll take that too. I think that we have – I wouldn't say we crushed a goal of AIR’s to make dispositions easier, but having said that, we're going to be comfortable making dispositions that make our portfolio better. And we see opportunities exiting from New York City. And we see opportunities in – perhaps lightening our allocation to California. And that latter case, probably through joint ventures, and both of those would be very low cap executions, which is why Paul pointed out to his remarks that it would address leverage, but not likely to be dilutive to FFO.
Rich Anderson: Right. I was referring to the step up in basis that allowed for more  which was a big part.
Terry Considine: You correct me and you're right. You're exactly right that our tax basis is much improved.
Rich Anderson: Okay. Thanks very much.
Operator: And the next question today comes from Alex Kalmus with Zelman Associates. Please go ahead.
Alex Kalmus: Thank you for taking my question. Just talking about the timeline of the New York City dispositions potential. What would you need to see in the market to feel comfortable disposing of those assets?
Terry Considine: Alex, again, it's Terry. I think what we're – Conor, if you want to speak to that. But I think in general, what we'd be looking for is the right price, understanding that today's prices can be – can overly discount future expected results. Conor that's your ball of wax, I didn't mean to jump into it.
Conor Wagner: Yes. Nothing much to add to that, as we could see the market improve optimism around the vaccine, people returning to the office that would generate help buyer underwrite. But we're going to be judicious. We're going to get the prices that we need. And we're not going to act in a rash manner.
Alex Kalmus: Got it. Thank you. And pre-split the market became aware of some unsolicited offers for the company. Have those conversations really died down given the new operation and platform?
Terry Considine: We haven't had any of that noise that I can think of.
Alex Kalmus: Got it. Thank you.
Operator: And our final question today comes from John Pawlowski with Green Street. Please go ahead.
John Pawlowski: Maybe continuing the disposition conversation. It sounded like your opening remarks where there was something imminent where you had a batch of dispositions teed up to delever. So is the – or New York City properties or California properties currently in process, are they teed up or is this more of a longer-term, two to three year type view?
Terry Considine: John, if I implied that something was kind of just ready to be announced, but not quite ready for prime time. I apologize that wasn't my intent. I was wanting to portray the fact that we are above our leverage levels. We want to be within those leverage targets. And as Conor mentioned, will act judiciously to allow us to get there and get there in a manner where FFO is not diluted by a significant amount.
John Pawlowski: Okay. And then Keith your comments about occupancy returning to pre-COVID levels by year end. Am I interpreting that right? And that would imply a kind of a low 97% occupancy figure by year end. Is that an accurate read?
Keith Kimmel: Well, John, we are optimistic that there is – if things continue to improve that there is a path that we can find our way there. Now there's a lot to happen between now and then. And it's obviously early days, but what gives us encouragement is that when we look at sort of how the pandemic impact that going back to almost a year ago and the stark drop off and how it is steadily been improving since particularly September through January, and now, even in February. We're just optimistic that there – if we keep seeing these types of improvements the economy starts to come back, that there is a way for us to get back there. There will be a lot of work to do to make that happen, but there's a way that we can see it.
John Pawlowski: Okay. And then last one for me, because I can't resist. Conor, if the Aimco portfolio was – you had your risk board ahead of you and outside of shrinking California, shrink in New York are there any other big portfolio repositioning you do?
Conor Wagner: Well, we make those decisions as a team. And so we've publicly discussed our desire to increase our allocation to the Sunbelt. The underlying principles that we like to be diversified by geography, within geography and by price point. And so we continue to look into the Sunbelt, but again, like dispositions, we're going to address that judiciously and in the best interest of shareholders.
John Pawlowski: All right. Thank you.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Terry Considine: Well, thank you all for your interest in AIR. It's fun for us to have our first earnings call as a new company. And if you have questions, please do called Conor or Paul or me, and we'll do our best to answer them. Be well. Thank you.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.